Operator: Good day, everyone, and welcome to the FARO Technologies Third Quarter 2022 Earnings Call. For opening remarks and introductions, I will now turn the call over to Michael Funari at Sapphire Investor Relations. Please go ahead.
Michael Funari: Thank you, and good afternoon. With me today from FARO are Michael Burger, Chief Executive Officer; and Allen Muhich, Chief Financial Officer. Today after market close the company released its financial results for the third quarter of 2022. The related press release and Form 10-Q are available on FARO's website at www.faro.com. Please note certain statements in this conference call, which are not historical facts may be considered forward-looking statements that involve risks and uncertainties, some of which are beyond our control and include statements regarding future business results, product and technology development, customer demand, inventory levels, our outlook and financial guidance, economic and industry projections, or subsequent events. Various factors could cause actual results to differ materially. For a more detailed description of these and other risks and uncertainties, please refer to today's press release and our annual and quarterly SEC filings. Forward-looking statements reflect our views only as of today and except as required by law we undertake no obligation to update or revise them. During today's conference call, management will discuss certain financial measures that are not presented in accordance with US Generally Accepted Accounting Principles or non-GAAP financial measures. In the press release, you will find additional disclosures regarding these non-GAAP measures, including reconciliations to comparable GAAP measures. While not recognized under GAAP, management believes these non-GAAP financial measures provide investors with relevant period-to-period comparisons of core operations. However, they should not be considered in isolation or as a substitute for a measure of financial performance prepared in accordance with GAAP. Now, I'd like to turn the call over to Michael Burger.
Michael Burger: Thank you, Mike. Welcome to our call. Third quarter demand across our served markets remained healthy with revenues of $85.3 million, up approximately 8% year-on-year. On a constant currency basis, revenue for the quarter was $91.5 million, up 14% year-on-year and 9% sequentially as continued strengthening of the US dollar adversely impacted our reported revenues. I'm pleased to report that close to 70% of our hardware revenue is now derived from products launched within the last two years compared to approximately 40% of the same -- in the same time in 2021. This improved hardware vitality index is a strong endorsement of our customer driven product road map execution. In the third quarter, cadence of new product introductions continued with the announcement of two new hardware products: the Vantage Max Laser Tracker and the Focus Core Scanner. Our Vantage Laser Tracker product line historically offered with a probe providing six degrees of freedom has greatly simplified the measurement of complex parts. Our newly released tracker has double the probing accuracy of the prior model dramatically increasing the value offered to our 3D metrology customer base. The entry level, Focus Core Laser Scanner expands the range of potential scanning applications by setting a new price performance water mark that is geared towards key markets including construction, building operations and public safety. In addition to our internally developed products in September, we announced the acquisition of GeoSLAM whose business will accelerate our access to both the geospatial and mining markets, primarily through an indirect channel. We expect this channel will ultimately enable meaningful cross-selling opportunities for FARO products. Additionally, their flexible, lower cost handheld mobile mapping device, which leverages proprietary simultaneous localization and mapping algorithms closes a gap we have in our mobile mapping portfolio, which is required by both the AECO and public safety market segments. We do not expect meaningful cannibalization of our current scanning hardware products with the addition of the GeoSLAM portfolio. In Q3, we augmented our HoloBuilder product line with video walk, which utilizes the 360 degree camera video mode to simultaneously capture while walking. Video walk is significant in that it greatly simplifies and dramatically speeds up the capture project in construction progress management workflow. This feature is currently in customer beta. FARO now offers the broadest set of 3D capture devices and technologies in the market, which allow us to uniquely satisfy customer requirements across the continuum of workflows. These capture technologies compete based on their ease of use, speed to data and accuracy. This is important as the data generated via these multiple capture technologies provide the foundation for our three-dimensional digital reality based SaaS offering, which incorporates time as the fourth dimension. Earlier this year, we launched FARO Sphere, our new four-dimensional digital reality platform. Sphere provides a central location for users to store, view, share and analyze reality captured data, allowing construction and operation professionals to benefit from faster site updates, virtual collaboration, and real-time feedback. As we look to our investment road map, we are focused on expanding the Sphere environment with SaaS applications that unlock the value of the 3D data captured via FARO's best-in-class capture technologies. An example of such an application is Flatness Check. Flatness, which was launched in Q3 is FARO's augmented reality application aimed at the concrete industry. With Flatness Check, concrete finishers can quickly and easily identify out of spec areas that can be fixed prior to concrete pour hardening. In this environment, time and the accuracy of information is of the essence. This application will eliminate expensive post-cure rework that is typical in commercial construction. In addition, contractors can now easily validate the Flatness specification, which can streamline the payment process, provide documentation of the work performed, while removing potential ambiguity that may exist in the finishing process. Flatness Check, which is embedded into the FARO Sphere ecosystem is the first of its kind and marks the beginning of what will be our rollout of additional applications targeted at eliminating waste, simplifying management and improving the profitability of construction projects and facility management initiatives. Finally, in the third quarter we announced our Sphere 4D viewer, which leverages a combination of high-end visual technology, smart navigation, photogrammetry, and artificial intelligence to provide users with a comprehensive, virtual visual representation of reality over time. This capability eliminates the reality data capture silos and enables a faster and more complete analysis of the data captured in a virtual reality environment by authorized Sphere users. We continue to believe there is a large and growing untapped market for FARO's technology that leverages our broad set of industrial-leading capture solutions. The market potential for digitizing the physical world is enormous. And our ability to acquire the best 3-dimensional representation of the physical world and to share insights gained from this view across a digitally connected world is the key differentiator for FARO. As a result, over the long-term, as we execute our strategy in addition to growing hardware revenue, we expect to realize new recurring software-as-a-service revenue streams that will be accretive to our corporate gross margins, while increasing the competitive barriers to entry across our entire portfolio which in turn will make us stickier with our current and future customer base. To physically demonstrate our 4D digital reality vision and our efforts to transform construction workflows we are excited to announce that we will be hosting an Analyst Day in March of 2023 in New York City. More details will follow in the coming months. I'll now turn the call over to Allen to provide an overview of our third quarter financial results.
Allen Muhich: Thank you, Michael, and good afternoon, everyone. Third quarter revenue of $85.3 million was up approximately 8% compared with the third quarter of 2021. With roughly 60% of our revenue impacted by US dollar FX rates, our third quarter revenue on a constant currency basis was $91.5 million, up 14% year-on-year. Driving this result was primarily the increase in demand for both our Focus Premium scanner and Quantum Max ScanArm, particularly in the Americas where year-to-date revenue was up 10% compared to last year. On an actual currency basis, when compared to last year, third quarter hardware revenue of $54.9 million was up 17% and is a strong leading indicator of the reaction customers are having to our updated product offerings. Software revenue of $10.6 million was down 4% and service revenue of $19.8 million was down 7%. Recurring revenue of $16.6 million was up 2% when compared to Q3 of 2021. As we discussed last quarter and in addition to the effect of the strengthening US dollar, we have begun to see a modest flattening of overall software revenue as we convert customer purchases of previously perpetual licenses to subscriptions. On service revenue the lower hardware unit volume in 2020 and 2021 compared to prior years have reduced the installed base of products eligible for our service offerings, which when combined with the meaningful product quality enhancements we've made over the last 18 months, while improving our customer experience has resulted in continued lower service revenue. GAAP gross margin was 50.7% and non-GAAP gross margin was 51% for the third quarter of 2022. Our global footprint for both customer revenue and internal operating expenses results in a relatively effective natural hedge that has limited the overall year-to-date profitability impact of the recent and unprecedented FX changes. That said, continued strengthening of US dollar exchange rates have adversely impacted reported gross margins by over 300 basis points when compared to the success model we set in early 2020. And while favorable material costs have predominantly been offset by recent price increases until FX rates revert to historical levels, we expect to operate below our targeted gross margin range. That said, we continue to be focus on realizing approximately $12 million of annualized material cost savings as we exit the fourth quarter of 2023 by repositioning elements of our supply chain to lower cost providers in Southeast Asia. As a result, we remain committed to our long-term success model, which for gross margin targets 55% to 60% of revenue. GAAP operating expenses were $50.4 million and included approximately $4.1 million in acquisition-related and tangible amortization and stock compensation expenses and $2 million in restructuring and other transaction costs. Non-GAAP operating expense of $44.3 million was $1.9 million higher than Q3 of 2021 due primarily to the investments in our sales incentive -- sales initiatives combined with a month's worth of GeoSLAM operating expenses that more than offset the benefit we experienced as a result of strengthening US dollar exchange rates. GAAP operating loss was $7.1 million in the third quarter of 2022 compared with an operating loss of $5.2 million in the third quarter of 2021. Non-GAAP operating loss was $800,000 in the third quarter of 2022 compared to a profit of $100,000 in the third quarter of 2021. Adjusted EBITDA was $2 million or 2.3% of revenue. Our GAAP net loss was $6.3 million or $0.34 per share. Our non-GAAP net income was approximately $550,000 or $0.03 per share for the third quarter of 2022 compared to a loss of approximately $120,000 or $0.01 per share in Q3 2021. I should note that included in our non-GAAP financial results was a $1.5 million gain recognized in other income and expense that was primarily due the remeasurement of US dollar bank balances held by our foreign legal entities. Our cash balance at the end of the quarter was $49 million with no debt. Included in our cash consumption during the quarter was approximately $31 million for the acquisition of GeoSLAM as well as $7 million of timing related increases in prepaids and accounts receivable. Additionally we incurred $3 million in cash restructuring payments associated with our German manufacturing transition and nearly $4 million resulting from the revaluation of foreign currency held on our balance sheet. I should also note that while we have sold a meaningful amount of raw material inventory to Sanmina, nearly $13 million of receivables due from our partner remained outstanding as of quarter end the majority of which has now been collected in October. We remain focused on reducing overall working capital levels with improvements expected in 2023. I also want to remind you that we have consolidated into our balance sheet the GeoSLAM operations and therefore trend information may be skewed. Moving on to guidance. In the fourth quarter, we expect revenue of between $99 million and $107 million, which assumes a constant exchange rate from current levels. If the US dollar were to further strengthen during the remainder of the quarter, we would again experience a headwind to reported revenue levels. We expect non-GAAP earnings per share of between $0.25 and $0.45. In closing and notwithstanding the recessionary concerns of the macro environment, we're excited about the momentum in our business for our near-term opportunities and remain committed and optimistic about executing on the long-term vision we have for generating shareholder value from customers digitalizing the world's physical objects. At the same time, we are actively monitoring demand signals to ensure alignment with spending levels and will adjust should future conditions warrant. The pace of our product announcements both hardware and software are accelerating. And we expect to continue providing increasing levels of value from 4D virtualized models to our customers throughout 2023. We look forward to sharing our progress with you in the future. This concludes our prepared remarks. At this time, we'd be pleased to take any of your questions.
Operator: [Operator Instructions] Move first to Jim Ricchiuti with Needham & Company. Please go ahead.
Unidentified Analyst: Hi. Good afternoon. This is actually Chris on for Jim. Thanks for taking the questions. With the rise in interest rates and economic uncertainty, there's been some commentary from the US real estate industry indicating a potential slowing of investment in new construction. Could you talk about how much exposure FARO has to ground-up versus brownfield and existing property building operations and maintenance?
Michael Burger: Yes, it's a great question. We have traditionally been very strong in the general contractor space. And there is a mix between new building and remodeling or restructuring of buildings, and so the actual exposure is probably -- I can't quantify it for you, but I would imagine that many of -- in fact this afternoon I actually had a conversation with a general contractor, who is very much focused on ground-up and they're pivoting toward remodel and it seems that that's kind of a trend I think. So it's really hard for me to quantify what we think the exposure is for ground up, but I do believe that many are actually pivoting. And our applications and products are applicable to either. So time will tell as it relates to what the net effect is. But we've been relatively pleased how resilient particularly North America and Asia, the AEC business has been. 
Unidentified Analyst: Got it. That's helpful. Thank you. And with the restructuring substantially complete, could you talk about some of the other levers you have to adjust cost structure in the event of a potential recession? 
Michael Burger: Well, sure. We as you can tell based on the activity that we just demonstrated in our prepared remarks, we have leaned very much forward in the R&D side of the world in the R&D both hardware and software. And certainly, if it was warranted we could slow that. We are still very much focused on moving our supply chain to Southeast Asia, which we're beginning to see, but really hasn't taken full effect. And then of course, continuing to replace open recs as they appear is what we are currently doing, but certainly we would be able to slow that replacement recs as time goes on. Fundamentally, there are probably some other moving pieces that we haven't talked about publicly, but I think we do have some levers. Certainly, the COVID environment has challenged us to be able to be very flexible as it relates to our cost structure and I think we demonstrated that in 2020. If we have to knock on wood I'm sure we could reenact that again. But right now we are cautiously optimistic about the demand environment, but we read the same things you do. 
Unidentified Analyst: Perfect. Thanks very much.
Michael Burger: You’re welcome.
Operator: And we'll take our next question from Greg Palm with Craig-Hallum Capital Group. Please go ahead. 
Greg Palm : Yes. Thanks for taking the question. I wanted to follow-up on that last bit of thinking there. I think when we last talked you were starting to see a little bit of momentum, especially on the new product side of things. And I'm just kind of curious as you look back on the quarter, and maybe what you're seeing in October in the pipeline. Any change in behavior at your customers that makes you less confident or more confident about the end of year? Just wanted to dig in a little bit more if we could. 
Michael Burger: Sure. Yes, it's a great question. As you know we tend to -- our business tends to kind of crescendo to the end of the year as Q4 is typically our big quarter as it relates to revenue. And we have seen our opportunity funnel continue to build, which is again I think bodes well for us. As we mentioned, the percent of revenue that's represented by new products continues to grow. It grew 10% quarter-on-quarter. So the adoption of our new products, I think, has put us in good stead. There's noise in China. And I think everybody's talked about -- all the earnings that I've listened to everyone's talking about the concern regarding China and China lockdowns. That's always a concern for us. I think Europe seems to be slower than it has been traditionally. That's been made up for us by the strength in North America, as Allen alluded to. So I think the mix in terms of where the business is has changed a bit. And we have not seen a dramatic change historically both in terms of funnel opportunities and segment demand. 3DM still seems to be quite strong. Actually we've seen a lot of strength this last quarter in public safety which was a very nice surprise. And AEC in general in North America and Asia has been strong, but Europe continues to lag and that hasn't changed now for this couple quarters. So I think our mix of business has changed a bit, Greg. And we have nothing right now that says hey we're concerned about Q4. 
Allen Muhich: I think just to maybe add on a little bit, and I think we said it in our prepared remarks as well, but the fact that hardware revenue grew on an actual currency basis, 17% year-on-year in the third quarter, really amplifies some of the comments that we've made around our road map that I think demonstrate that there is traction with the customers and the customers are appreciating some of the new differentiated features that we have. As Michael indicated, we don't see yet softening in the fourth quarter, but we read the same news that everybody else reads. And so we're cautious and we are watching it, but right now we feel pretty good heading into the fourth quarter.
Greg Palm : Yes, makes sense. Shifting gears to GeoSLAM now that it's been a couple months. Curious if you can give us any feedback on that specifically. And I don't know did you give us what contribution was in the quarter and what your expectations are for Q4 as well? 
Michael Burger: I'll let Allen -- I don't think we broke it out not that I'm aware of. 
Allen Muhich: We did not. Correct. 
Michael Burger: Yes. So, overall, we continue to be really impressed with the team. It's a very focused group of guys and gals. And honestly, we have been pleasantly surprised at the level of technology and where they are in their road maps. They're very aggressive, which we love. I'm also quite excited by the way they go to market. And I think Greg, we've talked in previous worlds or in previous quarters around trying to grow our share of our business through distribution and these guys are pretty much 100% through distribution. So I think we have a lot to learn there, and perhaps leverage. So far, so good. Very excited about what they bring in terms of, access to two markets that we really don't have much position in. And I think, taking their product into our markets is where we think that there's some real upside. Obviously, that's not happened yet, as we just closed the deal. But we're working on taking GeoSLAM, products into our traditional markets, which we think particularly in AEC and public safety there's real demand for. 
Greg Palm: Got it. 
Allen Muhich: In terms of the contribution, Michael's, right. We did not actually communicate what the contribution was in Q1 -- excuse me in the third quarter nor what our expectations are for the fourth quarter. But just as a reminder, in our release announcing them we indicated that they did what £14.5 million in the 12 months ending March 31 and about 18% EBITDA. That's pretty good performance, that we've now added into our results. 
Greg Palm: Yes. And so are you -- any reason, why you wouldn't expect that full sort of run rate performance on a quarterly basis going forward? 
Allen Muhich: No reason, we would expect it. And I think as we continue to bring the companies together and are able to move their products more through our channels, to our customer set I think we expect to see some nice increases. But that's probably not, for the next six to nine months or so. 
Greg Palm: Yes. I mean I guess just maybe circling back to my initial question. If you exclude that quarterly amount the call it $4 million, the sequential increase from what you reported in Q3 that the guide at the midpoint is definitely less maybe quite a bit less, than what you normally see sequentially. So I'm just trying to tie that out and just see if it's conservatism versus something else. You've got a little bit of FX headwinds, on a full quarter relative to Q3. But anything else, that's missing or we should be aware about? 
Michael Burger: No, I don't believe so. 
Allen Muhich: Yes, I don't think so. 
Michael Burger: No, I don't believe so. I think we are trying to be conservative in the context of under committing and overdelivering. And frankly, we've been burned in the past. And so we are approaching most of these quarters or all quarters very conservatively. But I think, it's early days with GeoSLAM and what we don't really have is history, in their forecasting model and so it's really hard to kind of take that to the Street. We need to learn that a bit. But I think, if history holds true for them I think we'll be in a good place. 
Greg Palm: Okay great. All right. Best of luck. Going forward. Thanks.
Michael Burger: Thanks, Greg. Appreciate your interest.
Allen Muhich: Thanks, Greg.
Operator: And we'll take our next question from Rob Mason with Baird. Please go ahead. 
Rob Mason: Hi. Thank you. Hi, every one. I'll just stick on GeoSLAM, a moment. Since that product does go exclusively through the channel and you're primarily direct, how do you feel about where their channel inventories are? Is that -- as they come into the organization are those rightsized, I guess at the moment? 
Michael Burger: Actually we had a review today. I think ,we've got some questions about their model as it relates to how they manage that channel in terms of inventory. My understanding from the review is that we -- they do not ask their channel to hold a great deal of inventory. They manufacture very much like FARO does, which is not a long lead time. Basically, they manage to ship. So from a lead time perspective, they are pretty much from stock and their channel doesn't basically, have a great deal of inventory. So I think -- I don't think there's a huge liability there in terms of channel inventory that I'm aware of. 
Rob Mason: Okay. And then Michael, if you could just provide a little bit of color about, what differentiates GeoSLAM in the marketplace. You mentioned, just where they have some strengths some of their end markets, but how did they go about obtaining those versus the competition? 
Michael Burger: We kind of categorize scanning in maybe three or four different buckets. We are on the leading edge the pinnacle, if you will in terms of accuracy. And with that accuracy comes some conditions, which means that as you're scanning you need to set up a fixed tripod and do the scan move the tripod, et cetera, et cetera. With that, you get this amazing accuracy that has made FARO who we are. What mobile mapping and the SLAM algorithm does is, it allows you to actually instead of setting up a tripod you can literally walk with the scanner, through the facility or through the crime scene or through the mine or whatever the application is without actually having to stop and actually set up a tripod. As a result, you can scan a specific area much quicker. The downside however, is that you don't get that leading edge accuracy that you get with our traditional scanning methodology. That in some applications, is good enough. And so we were not participating in some of those applications where the time constraint, was too high. And frankly, there's a cost structure associated with that as well. To get that leading edge accuracy, you need to spend $50,000 to $60,000 to $70,000 for a scanner, where GeoSLAM has a lower price point, lower accuracy but much faster. And so for certain workflows for example, drone flights it's actually ideal. And we were not participating in that market. So that's an example of kind of how we looked at it. We were internally developing a mobile mapping solution. And when GeoSLAM came along, the make-buy analysis was such -- and frankly from a software perspective, their capabilities were such that we felt that it was a much better deal to purchase versus to build and so the decision. 
Rob Mason: Yes. Okay. That's, helpful. Just real quick I guess, could you walk through some of your major verticals and just how they're performing at the moment? I know aerospace has been strong. You mentioned a little bit of an inflection in public safety. I'd be curious, maybe what catalyzed that if you can identify. 
Michael Burger: Well, it's a really good question. The public safety is such a fragmented market. And we've had a lot of success in North America, recently. We've had some real success in Europe, which in fact I will tell you one of the opportunities that we closed, literally took two years to close. So the sales cycle on public safety is much longer. I think -- so public safety has been a bright spot for us, albeit a relatively small market. 3DM continues to be a position of strength for us both in North America and Asia. And I'll say the same about AEC in general, with the exception of Europe. Europe, overall continues to be weaker than we have historically seen. And anecdotally, by market, it seems that demand continues to be pushed. It's not that we've lost more than we have. In fact our -- have traditionally. In fact, our closure rate is effectively flat with where we were maybe a year ago in Europe. So the opportunities are there. They just continue to get pushed. And we're not sure that -- I don't believe that it is a FARO situation. We actually believe, that it's a macroeconomic situation. 
Rob Mason: Very good. I'll hop back in queue. Thank you.
Michael Burger: Thank you, Rob.
Operator: [Operator Instructions] And we'll move next to Andrew DeGasperi with Berenberg Capital Markets. Please go ahead.
Unidentified Analyst: Hi, this is Stephanie on for Andrew DeGasperi. Our question is about the transition to subscriptions in SaaS when you think that will wrap up and when you think the margin benefit could emerge? Thank you.
Michael Burger: Well, we actually think this is a several-year process. We have begun this process in earnest over a year ago and I think with excitement and I think some success. As we talked about recurring revenue now is up to about 16% of total which is quite positive. But I believe this is probably a two to two and a half year slog as we convert users into a SaaS revenue stream. And I think we're well on our way but I think it's a couple years. Al do you have anything to add? 
Allen Muhich: No, I guess the only thing I would add Michael is we have a relatively minor amount of perpetual license revenue that is converting and so that conversion will take the couple of years that you referenced. At the same time, we have additional subscription initiatives that's going to be driving new SaaS revenue streams. And so the conversion of our existing revenue will take a bit of time. The ramp-up of additional revenue streams that are focused on solving customers' problems with the 3-dimensional data that they're gathering from our hardware devices will continue to ramp over the next couple years as well. And so I think that optically it will feel less than the conversion time that Michael just articulated on the specific question. Hopefully that gives you a little context.
Michael Burger: Right exactly. What we've said historically is that we would like to be in a position or we expect to be in a position where 25% of our revenue is recurring in nature. And we believe that we ought to be there by the end of 2024-ish. That's kind of internally and externally what we've said. 
Unidentified Analyst: That helps a lot. 
Michael Burger: You're welcome.
Operator: And we'll take our last question from Ben Rose with Battle Road Research. Please go ahead.
Michael Burger: Hey Ben.
Ben Rose: Yes, thank you for taking my question and good evening. Allen could you review the geographic mix during the quarter? I don't think you--
Allen Muhich: Sure. So, in the quarter we actually had -- let's just see if I got the numbers here right. So, roughly about 45% of the revenue came out of the Americas, roughly 27% of it came out of EMEA, and 28% of it came out of the Asia-Pacific region. And when you look at it from a growth standpoint on an actual currency basis so again some of the European and Asia-Pacific geographies will have a bit of muted growth, but the Americas was up 14% year-on-year which again contributes to some of the optimism that we have. And I think that the team there has done a nice job of growing that business on a year-to-date basis. I think we indicated 10% through the first three quarters of the year. Asia-Pacific, up 9% in the quarter. And then EMEA was down 3%. But EMEA is going to be again going to have the broadest impact from the strengthening US dollar. China, in particular, within Asia-Pacific has done a very nice job of really conveying the value of our products and ramping with the customer set.
Ben Rose: And I'm sorry. Thank you for giving the year-over-year growth. Is -- was China above the 9% growth for the entire region?
Allen Muhich: Yes. 
Ben Rose: Okay. And so you feel like you were able to avert a lot of the lockdown concerns that we've heard coming out of the region?
Michael Burger: So far. Knock on wood, but so far, yes.
Ben Rose: Okay. Was also curious could we get an update on Sanmina? You mentioned what was going on in terms of a receivable issue at the end of the quarter. But just in general are basically all of your products being manufactured there at this point or what's the status? 
Michael Burger: So we are -- we have completed the transition to Sanmina. They are performing to expectations. They have done a fantastic job actually keeping up with us. We are now effectively completely out of manufacturing. We still have break fix and some testing operations in place but manufacturing is now 100% relocated into Thailand. And we've had, I think a really great experience in terms of both quality and output. And frankly they are gearing up for Q4. As we talked before Q4 is our large quarter and we expect -- we're very confident we'll be able to deliver everything that the market desires through Q4 via Sanmina.
Ben Rose: And just a question regarding 3D M, you did mention the strength from the Quantum Arm product. And could you go into maybe a little bit more depth in terms of kind of the discrete manufacturing verticals that you're serving with your metrology products?
Michael Burger: Yeah. I think we've seen aerospace continue. And they've been struggling to keep up here for the last several quarters and we don't see that changing. Automotive and the automotive supply chain has been extremely strong. We've seen a lot of interest particularly in battery manufacturers for the EV side of that and that supply chain. And we have been relatively successful in penetrating some of the new EV actual body in white applications. So automotive continues to be relatively strong in North America. Automotive in Europe is relatively weak and automotive and Japan is pretty much nonexistent for us. So, way down from where it has been traditionally for 3D M.
Ben Rose: Okay. And Allen, you had mentioned bringing over -- the potential impact of bringing over the expense base from GeoSLAM. Could you maybe just clarify your thinking on the impact in Q4 and going forward?
Allen Muhich: Yeah. So we had about a month of their expense structure within our third quarter performance so some of it is already baked in. I think, when you worked through the profitability of the guidance that we provided given our traditional gross margin improvement that as revenue increases -- which again I think they would fit very nicely into from a margin perspective -- that you'll see that the fourth quarter expenses are expected to be a couple million dollars higher than they were in the third quarter, again, as you worked through your model. Some of that would be GeoSLAM-based. Some of it would be other timing-related items because as revenue increases we have some incremental commissions. That's probably the best way to articulate it I guess.
Ben Rose: Okay. And then finally on the cash balance, understand there was a lot of -- some cash for the acquisition and some other items. Where do you see that cash balance being perhaps over the course of the next year? Is this -- is there sort of a certain level below which you would prefer not to go at this point, maybe just some elaboration on your thinking about that?
Allen Muhich: Yeah. I think – Michael, chime in. But I think the cash balance that we reported here at the end of the third quarter of just a little bit below $50 million we would like to not see it go below that. We outlined a couple of things that should enable us to improve that cash balance. One of them is the receivable balance. I think you might have used the word issue. I just want to be clear, it's not an issue. It was just timing of payments.
Ben Rose: Sure.
Allen Muhich: As I indicated in prepared remarks it was -- we predominantly collected that here in October. We also had some timing-related payments associated with some -- our insurance premiums and some other software packages come due in our third quarter and so those dollars went out and will come back to us. So I think that we by and large we'll see a cash balance increase as we navigate. And with the fourth quarter showing some level of profitability given the higher revenue levels again I think we'll see an up-tick in our cash balances. We're comfortable where we are, but we'd like to not see it go too much lower than what we just reported in the third quarter.
Ben Rose: Okay. And then finally just quickly on GeoSLAM. Michael, is it your intent to operate GeoSLAM as sort of a separate entity at this point, or how does it get incorporated into the larger FARO structure?
Michael Burger: Well, I think as it relates to the channel we'll continue to operate that separate, as we've got a completely different separate customer base et cetera. So the channel will be managed separately, but ultimately we will integrate engineering organizations and the marketing organizations into FARO proper and so into our core business. And I expect that that'll be done by probably midyear.
Ben Rose: Okay. Okay. Thanks a lot.
Michael Burger: Thank you, Ben. I appreciate your questions.
Allen Muhich: Thank you.
Operator: And this does conclude the Q&A portion of the call. I'd now like to turn it back to Michael Burger for any closing remarks.
Michael Burger: We appreciate everybody's attention. And we are as you can tell quite excited about where we're at. And look forward to actually giving you an update on our Q4 and our year-end performance. We appreciate everybody's attention. Thank you.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time. And have a wonderful evening.